Operator: Good afternoon, everyone, and thank you for participating in today’s conference call to discuss Ascent’s Financial Results for the First Quarter Ended March 31, 2023. Joining us today are Ascent Executive Chairman of the Board, Ben Rosenzweig; President and CEO, Chris Hutter; CFO, Bill Steckel; and the company’s outside Investor Relations adviser, Cody Cree. Following their remarks, we will open the call for your questions. Before we go further, I would like to turn the call over to Cody Cree as he reads the company’s safe harbor statements within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Cree: Thanks, Victor. Before we continue, I’d like to remind all participants that the discussion today may contain certain forward-looking statements pursuant to the safe harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Ascent advises all of those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. Ascent does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings press release issued earlier today and posted on the Investors section of the company’s website at ascentco.com. Please note that this call is available for replay via webcast link that is also posted on the Investors section of the company’s website. We’ve also uploaded an updated investor presentation to the Investors section of the website, which we encourage you to view. With that, I’d like to turn the call over to Ascent’s Executive Chairman of the Board, Ben Rosenzweig. Ben, over to you.
Benjamin Rosenzweig: Thank you, Cody, and good afternoon. Since we were just on the phone with everyone a little over a month ago, I’ll try to keep it brief. On our last call, we were very clear that we expected the weakness from the fourth quarter to persist through our financial results into the first quarter. A meaningful portion of that headwind was attributable to the exit of our galvanized business in Munhall, which has mostly been completed and will not have a material impact on our results moving forward. As a refresher, when we inherited our galvanized business, we knew right away that it did not fit within our long-term plan for growth and profitability, mainly due to its commodity-like nature and susceptibility to import competition. However, we were able to generate significant cash from the business for a short period when the global supply chain was disrupted, particularly the import market and demand and pricing for our galvanized products spiked. In light of that, we held onto the business longer than originally expected and capitalized on the positive impact it was having on our consolidated results. In the middle of 2022, the supply chain rebounded more rapidly than we anticipated as imports quickly became viable again, which puts significant pressure on pricing. This negatively impacted the bottom line for our galvanized products and our Munhall facility as a whole. We’ve worked quickly to exit the galvanized product line while still fulfilling our contractual obligations. We continue to evaluate strategic alternatives for that facility and expect that, as we sit here on May 9, the material negative results we reported over the past three quarters are largely behind us. Going forward, we anticipate our Tubular Products segment will begin stabilizing in the second quarter and continue to improve throughout the rest of the year. Despite the complexities we faced in Q1 from the confluence of our galvanized line down and fairly broad channel destocking, we remain confident that we can produce a less volatile and more normalized earnings stream in our Tubular business over the latter half of the year. Recently, we were pleased to announce that Bill Steckel has joined Ascent as our new CFO. With his extensive experience in revitalizing and building finance organizations for both public and private companies, we’re confident in his ability to lead our finance and accounting functions and help us drive additional operating efficiencies throughout the organization. Over the past two years, Chris and I have recognized the inherited challenges facing our Tubular segment and have focused our growth and capital allocation priorities on our Specialty Chemicals business, which we firmly believe has the potential to be the long-term growth engine for Ascent. Despite industry-wide destocking trends affecting our sales base throughout the quarter, we remain optimistic about the opportunities in our pipeline and expect the headwinds to ease over the coming months. Additionally, we believe that our efforts on our Specialty Chemicals segment will enable us to leverage its stability and diverse asset base, allowing us to secure longer and more stable contracts and revenue streams that are less vulnerable to macroeconomic pressures. We are excited about the growth potential in this segment and are committed to unlocking its value. As we pursue growth, we continue to prioritize efficiently managing our working capital and cash flow to drive tangible value creation. We’re pleased with our progress in the first quarter as we generated over $12 million of free cash flow and we’ll look to continue that trend over the balance of the year. As I’ve mentioned on prior calls, we believe that M&A will play an important role in achieving our long-term objectives for Ascent Chemicals. That said, we feel confident that our current public market valuation does not accurately reflect our more normalized earnings potential. As this valuation gap persists, we will continue to aggressively utilize share buybacks within our capital allocation strategy. Now I’d like to pass the call over to Chris to provide a summary of our operations across both segments, but I’ll be available again later on to answer any questions. Chris, over to you.
Christopher Hutter: Thanks, Ben, and thank you all for joining today’s call. Let’s dive right into our Tubular Products segment. On our previous call, we emphasized the importance of transparency with our stakeholders regarding both the opportunities and challenges facing our Tubular Products segment. In the first quarter, we continue to follow our established playbook, focusing on our top-down approach to improving our safety, culture and go-to-market strategy. As we have previously noted, the challenges within our tubular operations are primarily related to specific sites or materials or arise from fluctuations in end-use demand from our project customers or our distribution customers. We remain highly attuned to these issues and are committed to proactively addressing them to ensure the continued success of Ascent Tubular. With the impending exit of our galvanized pipe and tube operations, we’ll be eliminating a meaningful consumer of our operational and financial resources that have obviously not generated an acceptable rate of return. We are excited about freeing up the capital and bandwidth to focus all of our resources on our higher value-add, more defensible product lines. As for our data from the Metals Service Center Institute, the service center inventories are currently near their historic lows. As of today, we are beginning to see signs that service centers are slowly restocking their inventories from historically and back to historically normal levels, and we expect to benefit from this reversion to a more normalized inventory level in the distribution channel. Overall, the markets in which our Tubular segment operates have remained resilient, even though uncertainty has caused some of the expected orders to be pushed a bit out as our customers are taking a wait-and-see approach. We have not really seen much in the way of order cancellation. And with some of the uptick we’ve seen over the past few weeks, we’re optimistic that we will continue to capture these orders even if they are ultimately delayed a few months. Now let’s turn to our Specialty Chemicals segment. As we have said over the course of several calls, we are confident that our Specialty Chemicals segment has the potential to become a significant driver of growth and profitability for Ascent, and we are fully committed to ensuring its success. Despite facing pressure from the continuation of last year’s industry-wide destocking in the first quarter, we expect these trends to improve in the back half of the year. When it comes to our sales funnel, we have continued to make inroads with several blue chip customers that will begin to ramp in late 2023 with full commercial scale up in 2024, pending successful trials. Our Specialty Chemicals clients tend to have a longer sales cycle, but this enables us to establish long-term relationships with them, resulting in consistent revenue streams. While it may take more time to acquire new clients, we view this as a strategic investment that aligns with our company’s long-term vision. Prioritizing profitability and stability over short-term growth is a trade-off we are willing to make to build enduring partnerships. We have continued to fill out our sales and customer engagement teams over the past 12 months and have been pleased with the preliminary results as our funnel continues to grow, and we have seen an increase in overall touch points with both existing and prospective customers. Overall, we are confident about our sales pipeline for the rest of 2023, and we are actively looking to expand our Specialty Chemicals business. While we believe M&A remains a tool for our long-term objectives, we are exercising patience and waiting for opportunities to help us better service our customers and can be acquired for reasonable valuations. While we wait, we remain focused on growing our existing business and maximizing operating income to deliver value. One of the things that sets our Specialty Chemicals business apart from other chemicals manufacturers is our scale. It enables us to be flexible in sourcing materials, filling orders and maintaining margins. We’re able to leverage our cross-facility capabilities to ensure that we are the go-to provider for customers seeking stability and accountability and their supply chain management efforts. Going forward, we remain highly optimistic about the long-term prospects of Ascent Chemicals, and we are committed to expanding this segment to become a more significant overall contributor to our revenue mix. Ultimately, we have the full confidence in our ability to achieve sustained and profitable growth over the long-term. To this end, we will continue to prioritize the delivery of exceptional products and services, invest in technology and automation to improve efficiency and pursue strategic acquisitions that align with our financial objectives. Our dedicated team is committed to creating long-term value for stakeholders through hard work and performance-driven outcomes, and we remain steadfast on the right path and support of all of our stakeholders as we work through this transformational time. As a significant shareholder myself, I strongly believe that patience in our long-term vision for Ascent ultimately result in significant payoff, and we look forward to fulfilling those expectations. Now I’d like to turn the call over to our new CFO, Bill Steckel, who will provide a more detailed overview of our first quarter financial results. Then I’ll return to answer any questions you may have. Bill, the floor is yours.
Bill Steckel: Thank you, Chris, and good afternoon, everyone. I’d like to briefly take a moment to express how excited I am to be a part of Ascent leadership team. In my short time at the company, we’ve certainly been busy, but it’s already clear to me how great this opportunity really is. We’ll work methodically to try and help our operators drive results in their segments while looking for continued efficiencies in our corporate accounting and operational practices. I’m very confident that we can make steady progress that will ultimately bear tangible fruit, and I’m looking forward to this journey. Now let’s jump into our financial results for the first quarter. Net sales were $82.5 million compared to $116.2 million in the prior year period. The decrease is due to the intentional reduction in low-margin sales at our Munhall facility within the Tubular Products segment in conjunction with distributor destocking, along with the sales decline within the Specialty Chemicals segment due to industry-wide destocking trends there also. Gross profit was $4.3 million compared to $22.5 million in the first quarter of 2022, while gross margin was 5.2% compared to 19.4% in the prior year period. The decrease is primarily driven by the aforementioned declines in net sales as well as some pressures on input and labor costs. Net loss in the first quarter was $5.2 million or $0.51 loss per share compared to net income of $10.3 million or $0.99 diluted earnings per share for the first quarter of 2022. The decline is primarily attributable to the aforementioned lower gross profit as well as higher restructuring and severance costs within the Tubular Products segment. Adjusted EBITDA in the first quarter was a negative $1.6 million compared to $17 million in the year ago quarter. And adjusted EBITDA margin was a negative 1.9% compared to 14.6% in the year ago quarter. The decrease, again, is primarily attributable to the aforementioned lower net sales associated primarily with our pipe and tube operations and an increase in corporate expenses during the period, mostly associated with our year-end audit activities. Lastly, looking at our liquidity position as of March 31, 2023, total debt was $58.7 million compared to $71.5 million at December 31, 2022. As of March 31, 2023, we had $50 million of borrowing capacity under our revolving credit facility compared to $37.6 million at December 31, 2022. During the first quarter of 2023, we also repurchased 32,313 shares or $0.3 million through our share repurchase program. With that, I’ll now turn the call back over to Victor, our operator, for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of [David Siegfried] as a private investor. Your line is open.
Unidentified Analyst: Hey, than you for taking my call. It’s been a tough six months here, but I did notice that almost $13 million pay down in debt in the first quarter, so that’s really good. Is that all connected with the working capital release from Munhall? Or is that just other sources that, that cash came from?
Benjamin Rosenzweig: It’s a little bit of everything, David. A lot of that is working capital, but not all of it is associated with Munhall. It’s broad-based effort across the entire business to realign working capital with a more normalized level of revenue. So it’s – I think we’ve made some good strides on working capital, and there’s still some more to go, but there’s still another opportunity with Munhall both from continuing to sell the inventory we have there and repurpose that inventory to help us save on replenishment efforts across the other parts of the Tubular business.
Unidentified Analyst: Got it. So then is it fair to say that there could be more substantial pay down of debt over the next quarter or two?
Benjamin Rosenzweig: Yes. I think that’s fair.
Unidentified Analyst: Yes. Okay. Do you have a debt level that you want to get to like a target?
Benjamin Rosenzweig: No, not specifically. I mean, we want to – we certainly believe that we can pay down additional debt through free cash flow generation. So we want to continue doing that. But it’s not an arbitrary target. I mean we want to make sure that our working capital is as efficient as it possibly can be. And I think that’s going to be a continuous effort. And if there are opportunities for us to allocate capital to high-returning initiatives, we’ll do that. But we understand what our debt cost is, what our equity cost is and some of the other things that we can be doing with that capital.
Unidentified Analyst: Got it. Yes, that makes sense. So sales growth. So right now, we’re in a declining sales environment, but connected with Munhall and chemical slowdown, but we’ve seen business stabilize in second quarter. And do you see potential growth in the near future?
Benjamin Rosenzweig: Yes, it’s definitely stabilizing over the course of the second quarter. We’re seeing a little bit in April and hopefully more through May and continuing through June and into the summer. Growth is going to be dependent on the division and dependent on the measurement period, right? So if you’re talking year-over-year versus quarterly, that’s different. And we’re talking about specific divisions rather than the aggregate, it really is just depending, right? And so I think the Munhall number skew things a little bit. So you would be hard pressed to see growth if you were looking at a year-over-year basis, that was inclusive of Munhall compared to now. But if you were to exclude Munhall and then look at it sequentially, there would be parts of the business that are growing. So yes, I mean, I think we’re going to try to do a better job of maybe disaggregating some of it a little bit better, and that’s going to be exclusive of Munhall, so people could see apples-to-apples comparisons. But yes, we’re certainly targeting stabilization and a return to growth.
Unidentified Analyst: Got it. And then share buybacks, so 32,000 shares bought in the first quarter. I mean that’s nice. I think there’s some that would like to see maybe a more aggressive approach. I know there’s limitations with volume of shares and things. But is there any way that you could tender for shares or increase the pace of your buyback?
Benjamin Rosenzweig: Yes. Everything is on the table. I think the first quarter was a confluence of certain issues pertaining to the restrictions that we had based on a regulatory basis, partially resulting from our delay in getting the audit filed. But now that we’ve returned to a more regular filing cadence, I think, you can see us be a little bit more freed up and less limited and being able to continue to repurchase those. Obviously, still within the structures that are laid out by the SEC, but we will continue to try to be as aggressive as possible to work within those.
Unidentified Analyst: Got it. Okay. Thank you for the good work, and thank you for getting the 10-Q out on time and we appreciate you.
Benjamin Rosenzweig: Thanks, David.
Operator: [Operator Instructions] And our next question will come from the line of [Larry Pitler] as a private investor. Your line is open.
Unidentified Analyst: I have several questions. The first one pertains to market makers. Do you know how many market makers there is in our stock?
Benjamin Rosenzweig: I don’t have that information right now, Larry, but we can flag that as a follow-up for you.
Unidentified Analyst: Secondly, I noticed that predominantly trades occur in small odd lots and round lot trading is probably less than 10% of the trades that occur. Can you explain that to me?
Benjamin Rosenzweig: Again, no, I don’t have that at my fingertips. That’s not something – that’s an area that we spend a lot of time delving into. But happy to take that issue offline and we can explore it further.
Unidentified Analyst: Also, are there any analysts who follow our company or brokerage firms that we’re connected to that can comment on the potential of our shares?
Benjamin Rosenzweig: Great question. I think that’s something that we’ve worked fairly diligent on over the past few months now that we’ve settled in a little bit more. And I’m hopeful that we might have some positive announcements there with respect to additional brokerage firms that might be following us a little bit more closely over the coming months. But as of this moment in time, there are none.
Unidentified Analyst: I noticed in the last report to the SEC that BDO mentioned that our internal controls were deficient, especially with respect to financial reports, inventory, revenue and technology items. How has that been addressed?
Benjamin Rosenzweig: Do you want to take that one, Bill?
Bill Steckel: Sure. Well, yes, this is Bill, Larry, the new CFO. I’ll tell you that we have been very focused on getting the 10-K filed in Q1, then I joined the company basically at the end of the quarter. And then we filed our quarterly report on time. We have engaged with the firm that we have used in the past to start working on a plan for remediating those weaknesses. It will take some time. Those aren’t things that we can immediately fix in one quarter. We’ll do it on a measured pace with a plan in place. And that will happen over the course of this year. And some of those are a little more complex than others, and we’ll take some – there is some IT involvement and some systems work and obviously, some procedures and people work that need to go into that. So we will be turning our focus to that very significantly here now that we’re through sort of this busy filing period at the start of the year. And I would add, Larry, that I’ve personally been through that in one of my previous roles in remediating weaknesses and did it very successfully. And I would just say that it’s something that we have a plan to attack.
Operator: Thank you. And at this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Hutter for any closing remarks.
Christopher Hutter: Thank you, Victor. We’d like to thank everyone for listening to today’s call, and we look forward to speaking with you again when we report our second quarter 2023 results.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation. Have a great day.